Operator: Good day and welcome to QuantumScape's Fourth Quarter 2023 Earnings Conference Call. John Saager, QuantumScape's Vice President of Capital Markets and FP&A, you may begin your conference.
John Saager: Thank you, operator. Good afternoon and thank you to everyone for joining QuantumScapes's fourth quarter 2023 earnings call. To supplement today's discussion, please go to our IR website at ir.quantumscape.com to view our shareholder letter. Before we begin, I want to call your attention to the Safe Harbor provision for forward-looking statements that is posted on our website as part of our quarterly update. Forward-looking statements generally relate to future events, future technology progress, or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize. Actual results and financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. There are risk factors that may cause actual results to differ materially from the content of our forward-looking statements for the reasons that we cite in our shareholder letter, Form 10-K and other SEC filings, including uncertainties posed by the difficulty in predicting future outcomes. Joining us today will be QuantumScape's Co-founder, CEO and Chairman, Jagdeep Singh; our CFO, Kevin Hettrich; and Dr. Siva Sivaram, President. With that, I'd like to turn the call over to Jagdeep.
Jagdeep Singh: Thanks, John. Since our founding, our mission has been simple, revolutionize energy storage and enable a more sustainable future. Reflecting on this journey, we've made remarkable progress towards commercializing solid-state lithium metal batteries, from the single-layer pouch cells we showed in December 2020, all the way to our 24-layer A0 cells shipped in December 2022. The best performing of these have now yielded impressive cycle life performance, over 1,000 cycles with 95% capacity retention as reported by Volkswagen's battery arm PowerCo based on testing in their own labs in Germany. In 2023, we set out to turn these A0 prototypes into a commercial product. And with advances in cathode loading, packaging efficiency, and process quality, we now have our first commercial product, QSE-5 in our sites. When it comes to the combination of product development, customer engagement, and financial strength, I believe our leaders in next-generation batteries is stronger than it's ever been. When we begin shipping QSE-5, it will mark a world-first for automotive solid-state lithium metal battery technology, representing the culmination of years of development on the part of the QuantumScape team and further solidifying our leadership in next-generation battery technology. But starting low-volume production of our first product is not the end of the journey, it's just the beginning. To truly fulfill the promise of our breakthrough technology, we will need to increase production by orders of magnitude from where we are today. For that reason, early last year, I set out to recruit a leader with extensive experience in high-volume manufacturing of sophisticated technology products. Such a candidate would need to have extensive experience bringing complex emerging technology into high-volume production. A proven track record of operational discipline, and an appreciation for the significance of QuantumScape's mission and the scale of our ambition. I believe our company is closer than ever to having a profound impact on the automotive industry and the wider world, while delivering exceptional returns for shareholders. I was looking for a leader who both shared that vision and had the tools to make it a reality. I'm pleased to say we found the ideal candidate in Dr. Siva Sivaram. He has decades of experience taking groundbreaking technology products into high-volume production, building factories, establishing partnerships, and scaling production across the world. Since coming on as President, Siva has impressed the team with his operational skills, strategic vision, and ability to drive results, as well as his connections within the broader high-tech manufacturing industry. Most importantly, he fits in perfectly with the culture we've worked hard to build and the values we all hold. Respect, curiosity, integrity, and passion to solve the problem of building a better battery. That's why, as Chairman, I'm thrilled to announce that with my recommendation, the Board has agreed to appoint Dr. Siva Sivaram, as Chief Executive Officer. I have total confidence that he's the right person to take on the challenge of bringing our transformational solid-state battery technology to market, driving this next phase of growth, fulfilling our mission of revolutionizing energy storage, and delivering exceptional returns for shareholders. There's no doubt in our minds that Siva is the right person at the right time to lead us on to the next phase of our journey. With that let me turn it over to you, Siva. Congratulations.
Siva Sivaram: Thank you, Jagdeep. I'm proud and excited for this opportunity and very grateful to you for entrusting me with this mission. I'll begin with a look back at our achievements in 2023, give some insight into our manufacturing process roadmap, and close with a look at our key goals for the next year. 2023 marked the beginning of a transformational period for QuantumScape, starting with the shipment of our first A0 prototype cells in late 2022 and continuing in 2023 with the development and demonstration of key component-level improvements needed to go from prototype to product. Higher cathode loading, an efficient commercial packaging design, and an improved and far more scalable separator process. The A0 prototypes were intended to demonstrate the core capability of the technology ahead of achieving the reliability and other characteristics expected of a commercial product. One of the customers that received the A0 prototype cells was our long-standing partner, the Volkswagen Group, whose battery manufacturing arm PowerCo confirmed the results we reported in our Q3'23 shareholder letter. Our best-performing cell achieved over 1,000 cycles with over 95% capacity retention. With respect to cathode loading, we reported performance results from higher loading cells in our Q1 2023 shareholder letter. This increase in cathode loading means our new cathodes offer 60% more capacity per unit area. This improvement has been integrated into our baseline cell builds, representing a key step forward towards achieving our target energy density for QSE-5. Improved packaging efficiency is another enabler for high energy density, and the FlexFrame packaging of QSE-5 is more efficient compared to our A0 prototype cells. In Q4, we completed the integration of several packaging improvements, including tighter internal margins, thinner current collectors, and a slimmer frame design. Another focus in 2023 was to improve production quality and consistency. With respect to reliability, we have improved the interface between the cathode and the separator, which we have determined is one of the major drivers of reliability. We have reduced ambient and process-related particle contamination, improved the components and processes that go into cell assembly, and made advances across our entire production flow. These improvements have allowed us to integrate the higher-loading cathodes and more efficient packaging into the Alpha-2 prototype cells we plan to ship this year. Our final goal was to introduce our new fast separator heat-treatment process. This goal is important because heat treatment is one of the most cost-intensive parts of ceramic processing and is often the main bottleneck in terms of throughput. This faster process also results in an improved separator, and we are rolling it out in two stages. Raptor, which we successfully deployed in Q4, and its successor, Cobra. On that front, I'd like to take a moment to offer some more detail on Raptor and Cobra and our process roadmap. When it comes to Raptor, the heat processing step is approximately eight times faster than our current generation process, cutting the amount of energy needed per separator and increasing throughput. Raptor also removes several other process steps entirely, allowing us to eliminate material inputs that would otherwise introduce particle contamination. When it reaches its full planned run rate, Raptor will be capable of more separator starts per week than the combined capacity of every previous generation of heat treatment equipment put together. Thanks to this step-change increase in productivity, Raptor is capable of providing enough separator films to enable low-volume QSE-5 production this year. Cobra takes the innovations of the Raptor process and adds three more improvements. First and foremost, the Cobra heat treatment step is designed to be faster than Raptor by more than an order of magnitude, which dramatically improves throughput and energy efficiency. Second, the Cobra heat treatment equipment has a footprint an order of magnitude smaller than Raptor, while also increasing production capacity, which saves space on the production floor and further improves the process economics. Third, the Cobra process consolidates or eliminates additional individual process steps compared to Raptor, reducing potential sources of variability from the process, as well as easing production bottlenecks and lowering cost. We believe these advantages make Cobra process the most attractive pathway to gigawatt-hour scale production, though such volumes will require larger configurations of Cobra equipment. Bringing online a disruptive improvement like Cobra presents a technical challenge, and significant work remains to develop a fully mature Cobra production process. We have prioritized bringing Cobra into production as soon as possible. Finally, I'd like to lay out our four key goals for coming year. In 2024, our focus is to take the improvements we have demonstrated at the component level in 2023 and integrate them into one design, QSE-5, the approximately 5 amp hour cell that we are targeting as our first commercial product. Our first major goal for the year is to ship a round of samples designated as Alpha-2, which integrates the improved cathode and packaging that we have developed in 2023 into a multilayer cell design. Alpha-2 is an important milestone in de-risking many of the key elements of integration, and when combined with Raptor films and other refinements, represents the core of QSE-5. Our second goal for this year is to transition to Raptor production, going from initial deployment at the end of last year to its full planned run rate. To enable this transition, we must install and qualify upstream and downstream automation for Raptor. We expect it to provide up to three times the separator production capacity compared to our current generation process, enabling low-volume QSE-5 prototype production this year. Our third goal for this year is to begin low-volume B0 prototype production for our first commercial cell, QSC-5. We define B0 prototypes as the near-final QSE-5 product design, a 24-layer cell integrating improving package efficiency and higher loading cathode using films produced by our Raptor process. It is important to note that the final designation of a B-sample by an automotive OEM occurs only after extensive testing of these candidate cells. We believe QSE-5 fills a unique high-value segment of the EV battery market, by combining high energy density with high power. The final goal for the year is to prepare for Cobra production in 2025. We are already operating prototype versions of Cobra heat-treating equipment, and in light of the promising data from our prototype equipment and the significant advantages of Cobra as a pathway to gigawatt hour-scale production, we have prioritized bringing Cobra into production as soon as possible to support higher volumes of QSE-5 in 2025. Our goal for 2024 is to set the stage for Cobra by taking delivery of key pieces of Cobra equipment and preparing to bring them into production. These goals are challenging and ambitious and will require the focused effort on behalf of the entire team. We believe that achieving them will represent major progress along our industrialization roadmap. With that, I will hand over to Kevin, for a word on our financial outlook.
Kevin Hettrich: Thank you, Siva. Capital expenditures for the fourth quarter and full-year 2023 were $13.8 million and $84.5 million, respectively. Notable items of Q4 CapEx included QS-0 facilities investments as well as prototype equipment for our Cobra process. GAAP operating expenses were $124.6 million in the fourth quarter and $479 million for the full year 2023. Cash operating expenses were $73.9 million in the fourth quarter and $264.1 million for the full year 2023, consistent with our previously communicated guidance. In lieu of a cash operating expense metric, moving forward, we will provide guidance on adjusted EBITDA. Adjusted EBITDA is a similar measure we believe offers improved comparability with other companies, included in our shareholder letter is a reconciliation of adjusted EBITDA to GAAP net loss. Adjusted EBITDA loss was $60.7 million in the fourth quarter and $249.2 million for the full year 2023. For the full year 2024, we expect capital expenditures to be between $70 million to $120 million. Priorities for CapEx in 2024 include investments in certain process areas, notably cell assembly to better match the throughput of the Raptor tool, as well as CapEx for Cobra metrology to support improvements in film quality and reliability, and for facilities to support further scale-up of QS-0. For the full year 2024, we forecast adjusted EBITDA loss to be between $250 million and $300 million. Our 2024 guidance reflects efforts to maintain our commercialization timeline, while conserving cash and extending our runway, primarily by focusing on process improvements. Raptor is a notable step-change process improvement, also important are steady, continuous improvement efforts targeted throughout the process flow. The net result is an operating plan that increases QS-0 output, while holding CapEx to a similar range as 2023. We ended the year with $1.07 billion in liquidity, strongly positioning the company as we transition from prototype to product and prepare for subsequent industrialization. We continue to be prudent with our balance sheet and optimize spending as a result of cost-saving initiatives and judicious planning. We now forecast our cash runway will extend into the second half of 2026, two quarters beyond our prior estimates. Any additional funds raised from capital markets activity, including under our ATM prospectus supplement, would further extend this cash runway. Longer-term, our capital requirements will be a function of our industrialization business model, which we believe could reflect a mix of wholly-owned production, joint venture, and licensing relationships.
John Saager: Thanks, Kevin. We'll begin today's Q&A portion with a few questions we've received from investors or that I believe investors would be interested in. Jagdeep, I'll start with you. You've overseen QuantumScape's development since its founding. What makes you feel it was the right move to appoint Siva as CEO? And also what drove the timing?
Jagdeep Singh: So, John, the first point is that I believe we're in the strongest position that we've ever been in relative to the combination of technical progress, cash balance, and customer engagement. We've shipped our A0 samples to customers, seeing the best performing of these deliver category-leading performance in the customer lab over 1,000 cycles with 95% capacity retention, we have $1 billion in the balance sheet and our customer engagement is stronger than ever. Secondly, we're now in a period of transformation going from prototype to product, which we plan to achieve by combining the component-level results we announced last year, higher cathode loading, improved packaging, and more scalable film process with Raptor into an integrated cell, the QSE-5. But the other critical part of this transformation is to put in place a leader that brings the high-volume manufacturing experience we'll need to drive the next phase of our growth. On that note, we were very fortunate to attract someone of Siva's caliber, someone who checks all the boxes in terms of having brought emerging technologies into high-volume production multiple times in his career, as well as having the cultural fit that's so necessary for a successful transition. We think his taking the helm as CEO, will be a huge value-creation move for investors over the coming decade. And finally, I continue to serve as Chairman to provide continuity and to provide any help Siva needs from me.
John Saager: Thanks, Jagdeep. Siva, turning to you now. You've had a remarkable career to date. What attracted you to QuantumScape at this stage of our development?
Siva Sivaram: Well, John, my career over the last four decades in the semiconductor and data storage industries has been one of taking revolutionary new technologies into high-volume production. Whether it is advanced microprocessors at Intel, or 3D flash at Sandisk, or high-volume data storage at Western Digital, I've been fortunate to be closely involved in solving complex technology issues, while simultaneously bringing up manufacturing capabilities. I have been part of building fabs and factories around the world, and in every case, it's a process of developing a stable baseline, delivering a product to the customer, get feedback, scale the production, and systematically improve productivity and reliability. Now, I wanted to do something more impactful and leave a mark. Whether it is team, technology, market or impact, QuantumScape fits the profile perfectly for me. The impact touches every person on the planet. The technology is world-changing, the team is world-class, and the market spans the globe. My connection with QuantumScape is now almost a decade old. I was talking with Jagdeep and Tim about adhesion layered deposition in 2013. I was talking with them both again around 2017. When Jagdeep and I started talking about this current opportunity almost a year ago, last February. I was immediately intrigued by the possibilities of leading the company through this next phase. Since I joined the company last year, I've been very impressed with the purposefulness of the team, and the depth of the knowledge in all aspects of battery technology and production. The focus on solving materials and chemistry problems at the fundamental level before attempting to ramp volume aligns with my experiences in successful manufacturing transitions.
John Saager: Thanks, Siva. A question for Siva that we received from an investor in our IR inbox. How can investors best track QuantumScape's progress against our commercialization timeline for low-volume B samples this year?
Siva Sivaram: John, this is a transformational moment for us. We have shipped our A0, defined the commercial packaging design, and we are targeting Alpha-2 shipments. This has all been necessary to get a well-defined product, the QSE-5. The next step is getting the QSE-5 B0 samples in the customer's hands as soon as possible so we can get the feedback from them and iterate. The goals that we have set up for ourselves this year directly track the industrialization of the technology. Delivering the Alpha-2 samples to the customers, getting Raptor ramped to high volumes, and starting the low-volume production of QSE-5 B0 samples, which are 24 layers with Raptor films are critical to our success. The fourth goal of preparing for Cobra production is essential for ramping the cell volume next year. Tracking our progress to these goals is the best way for investors to follow along on our industrialization roadmap.
John Saager: Okay, thanks so much. We're now ready to begin the live portion of today's call. Operator, please open up the line for questions.
Operator: Absolutely. We will now begin the Q&A session. [Operator Instructions] Our first question today comes from Jordan Levy with Truist. Please proceed.
Jordan Levy: Congratulations, Siva, on the role here and Jagdeep, thanks for everything, and looking forward to continuing to have you on the Board here as the Chair. Siva, maybe given you're taking over as CEO here, I just wanted to step back and get your thoughts. You have a lot of, obviously, experience on, on scaling up new technologies, and just wanted to get your thoughts on the go forward path and one of the biggest challenges to getting to that gigawatt hour-scale are in your opinion, and your confidence around the ability to get there over the coming years?
Siva Sivaram: Thank you. Thanks for the question. You know, the way we have always done volume manufacturing ramp is to be systematic. So the goals that we have set up for ourselves neatly align into that, way of thinking in terms of making sure we do the near-term things correctly, build it up, deliver samples to customers, learn back from them, iterate, and improve. So this year is all about marching towards low volume B0 production, making sure all the infrastructure goes in place to make that happen. And once we have that, then take the steps towards higher volume B-sample production next year. So I think these are very well set up with our goals of making sure that the Alpha-2 goes out this year, followed by the B0 initial volume production, making sure Raptor is well integrated, and then getting ready for Cobra. So as long as we march through this systematically, we'll be reaching there the fastest.
Jordan Levy: Okay. Thanks so much. And maybe just a quick follow-up.
Siva Sivaram: The confidence level on that is --
Jordan Levy: Go ahead. Sorry.
Siva Sivaram: No, no. Please, go ahead.
Jordan Levy: All right. Thanks. I was just going to say, reading through the shareholder letter and the commentary on Cobra, it seems like you all said that the priority now is to get that online as soon as possible. And I'm just curious, is there, you know, something that's come to light, either with the prototype of Cobra heat treatment that you've been looking at or something that's kind of gotten you more excited about getting to Cobra, or has anything changed kind of how you're thinking about that?
Siva Sivaram: Clearly, we deployed Raptor end of last year and we have now integrated into cells and are ramping it. And we need to make sure we get our learnings from Raptor. Cobra, the potential, when you see the heat treatment time being reduced by an order of magnitude and the equipment footprint dropping by an order of magnitude, it is a very big deal for us to get into volume production next year. So this idea of learning from Raptor and getting ready for Cobra, that's the system we are following, and I think that's the right way to ramp production.
Jordan Levy: Thanks so much.
Operator: Our next question today comes from Gabe Daoud with TD Cowen. Please proceed.
Gabe Daoud: Hey, thank you. And Jagdeep, we'll miss you on these calls. And Siva, congrats on the new role. I was hoping we could start with Alpha-2. Being as that's the next iteration of your cell design, could you just maybe talk a little bit about, well, first, I guess, have you paired the higher-loading cathode with anything other than just a two-layer cell, would be interested in an update on that? And then also if you could just talk about those efforts to incorporate the higher cathode loading with a greater level of layers and maybe what some of the challenges are there? Is it the interface between cathode and separator issues, as you noted? And is it issues with lack of uniformity with lithium plating and stripping? Just any kind of update on that undertaking would be helpful.
Jagdeep Singh: Hey, Gabe, it's Jagdeep. Let me go ahead and start and then I'll turn it over to Siva to provide more color. So yeah, you're correct that we did develop the higher-loading cathodes last year. We reported on that, I think on the Q1 call last year, and we did ship that high-loading cathode to customers. And then what Alpha-2 represents is exactly what you're saying. It's a multilayer version of that higher-loading cathode integrated with the advances in packaging that we refer to. So, remember, going from the A0 prototype to the QSE product involves sort of four major components, if you will. The first is a 24-layer design that we already showed in the A0 prototypes that we shipped back in '22. The second is a higher-loading cathode, that we developed and shared results of on the Q1 call a year ago. The third is the better packaging, which includes a number of different improvements from tighter margins, less overall volume in terms of the package that's more efficient, and other things like that, better current collectors. And the final thing is the Raptor films, which are obviously the building block for our long-term, more scalable film production process. So those four things all have to come together to make a QSE-5 prototype. And what we are doing with the Alpha-2 is integrating the higher-loading cathodes and the better packaging along with the multilayer design, which gives us confidence that we're tracking towards the QSE-5 low volume B0 prototypes that Siva referred to earlier. Siva, you want to add to that all?
Siva Sivaram: Thanks, Jagdeep. So you see this systematic approach over and over again. We had shipped the 24-layer A0 samples, very end of '22, and we're going to be shipping this year low volume, B0 samples. We needed to have multiple steps in between, as we integrate these important subcomponents, whether it is higher-loading cathode or packaging, efficient packaging, or the Raptor. As we come along, we want to make sure we do deliver these samples to customers, make sure they get to test, they give us feedback. You'll see this very, very often from us as we go going forward. So Alpha-2 represents one of those big steps to make sure that we have the higher-loading cathode and the packaging put together. And then when we add the Raptor, and then -- we get more towards the low volume B0 production that happens later in the year.
Gabe Daoud: Thanks, guys. That's helpful. So the low volume B0 prototype, would that cell then more or less be pretty close to the targeted commercial energy density of about 800 watt hours per liter?
Jagdeep Singh: Yeah. So that -- we're defining the B0 as essentially a cell that integrates the four component-level improvements that I just mentioned, right. The 24-layer design, the higher-loading cathode, more efficient packaging, and the new improved Raptor films. And if we do that, then you're absolutely right, we start to get into the zip code of the commercial, target edge density for QSE-5. There might be small variations, obviously, because it'll still be a prototype, a B sample, a B0 sample, not the commercial product, but the most important point there, Gabe, is that we will have those four building blocks integrated, and with that, we'll be essentially in the right zip code of energy density.
Gabe Daoud: Awesome. That's great to hear. Just one last quick one for me, just on the separator manufacturing Cobra, sorry, Raptor target getting to 15,000 starts a week, Cobra just under 100,000. Any thoughts on, I guess, yields? And what do yields look like off those starts? I know initially would probably be pretty low, but just curious if you could help us think about that a bit more? Thanks, guys.
Siva Sivaram: Just to be clear, we have said Raptor produces 3x our current existing process starts, and Cobra can be an order of magnitude higher. We are not explicitly giving starts and yield numbers specifically in this. But you can see when you increase productivity in like orders of magnitude, that's a very, very important step for us. So we will be receiving Cobra equipment towards the end of the year. We want to make sure all the upstream, downstream steps are integrated so we are -- so that we can be ready for production with it next year.
Jagdeep Singh: And Gabe, if I can just add, if you look at the chart in our shareholder letter that talks about the key indicators of process scalability, you see, as Siva mentioned, that the processing time for Cobra compared to what we do today is in order of magnitude lower, which means order of magnitude better. And independently of that, the equipment footprint is also an order of magnitude better, right? So when you look at, when you look at the total capability of the process in a given amount of space, it really is a compellingly better process that we're super excited about, relative to getting to gigawatt hour-scale.
Gabe Daoud: Thanks, guys.
Operator: Our next question today comes from Ben Kallo with Baird. Please proceed.
Ben Kallo: Hey, good evening. Thank you, Jagdeep, for everything. Dr. Siva, welcome. I wanted to ask just about the backdrop. Like we read all these things about you know like EVs, demand being down, but I know a lot of it is just headline. But how that impacts your discussions and business development?
Siva Sivaram: Yes, obviously we've been talking very closely with our customers. And indeed, it's true that there is short-term turbulence in the marketplace. But the secular long-term trend in EVs continues to be very robust, and our customers and their confidence reflects that. As we work with them for the long term, they are as pumped up about what we are able to deliver as they have always been. So we continue to work with them closely. We do watch the markets in the short term, but I think our focus is on this secular long-term trend of increasing EV adoption across all markets.
Ben Kallo: And just on that front, you said all markets. Do you focus on one market in particular, China is probably stronger, Europe or is that up to your customers?
Siva Sivaram: Yeah. I should not be talking for our customers. You should ask the question of our customers. But our main customers are global players, who have businesses across all marketplaces, and their demand to us aggregates all these as they talk to us.
Ben Kallo: And you guys have a very good cash balance. But how do we think about it being deployed over '24 CapEx and capital needs going forward? Thank you.
Kevin Hettrich: Ben, thank you for the question. We ended the year with $1.70 billion, which we think is a strong cash balance for this transition phase going from prototype to product. We provided guidance for the year for CapEx of between $70 million and $120 million, and adjusted EBITDA guidance of between $250 million and $300 million loss. That combines together to a cash runway into the second half of 2026. And we did note in the letter that, that is an extension of a further two quarters relative to the prior guidance. So while we haven't given interim detail in the periods outside of 2024, we have updated the aggregate cash runway guidance.
Ben Kallo: Thank you.
Operator: Our next question today comes from Jed Dorsheimer with William Blair. Please proceed.
Mark Shooter: You have Mark Shooter on for Jed Dorsheimer here. I just want to reiterate what other analyst sentiments here, congratulating to you both Jagdeep and Siva. Thinking about the, amp hour size of your cells, there's obviously some energy density efficiency that can be gained from larger cell sizes. And my understanding is that the limiting factor here is the area of the -- of the separator. Not that you can't make larger, but there's an optimization function there. So, can you walk us through some of the offsets between cost and yields versus the energy density benefits you may go, or you may get from going to a larger cell size with a larger area separator?
Jagdeep Singh: Yeah. It's a great question. Thanks for asking. So, you're absolutely right that for any given architecture, if you go into a larger package, the ratio of package inactive materials to electrodes and active materials gets more favorable. And so you will get an energy density advantage, by going to a bigger cell, just because there's less spinage and unnecessary, sort of componentry in the cell. Having said that, our mission was to get our first product to market as quickly as possible, and we wanted to minimize how many changes we made to the design and the form factor we were already working on. So the reason why the QSE-5 is in the form factor that it's in, is largely because that was the form factor we had identified as our initial A sample early on, and all of our manufacturing capability was designed around that, that particular form factor. So, rather than change the form factor and incur a number of unnecessary delays as we read tooling and so on, we wanted to just focus on time to market and deliver a cell in that same form factor. The good news is, even within that smaller form factor, we see very compelling numbers. In one of our previous in the Q2 '23 show letter, you'll see a chart on page three, I think, that shows you that we believe we can get to a pretty unique combination of energy and power in that form factor. Even the 5 amp hour form factor, which is about as much energy as you get in a 2170 cell, the one that's used in the Model 3, for example, the Tesla Model 3. You basically can get to on the order of 800 or more watt hours per liter, while still targeting 15 minutes charge times. To our knowledge, that's a unique part of the curve, all of the other major EV cells that are out there, can either get energy or power, but not both simultaneously. And then, having said that, the roadmap absolutely allows for us to get to higher energy density simply by increasing the form factor. So even with no fundamental changes to the chemistry, simply by going to larger separator films and larger cell packaging, you end up improving the ratio of active to inactive materials in the cell and thereby improving the overall higher energy density sets, something that's very much on the roadmap, and it's just a matter of sequencing what we do, so we can focus on getting to market without unnecessary delays.
Mark Shooter: That's great. Thanks for the color. There's a follow-up here talking about Raptor and Cobra, there's obviously a large development that's occurred in the Sintering process for the heat treatment. Unfortunately, with all things with batteries, there's often a performance negative side to every improvement you make in one area. Could you touch on any of the challenges you've had? And what do you want to see from the material set in Raptor that gives you the green lights for Cobra? Does the void space change? Does the lithium conductivity change because of the faster sintering? Any color on that would be great? Thanks, guys.
Siva Sivaram: Even though the heat treatment time has dramatically reduced, we have not changed the composition of the films, which continue to be refined as our needs evolve. Both the Raptor films, which we've already integrated, and for ourselves satisfied that it meets our needs, we continue to follow this very closely with Cobra. Like any step-change, production change things, you know, there are going to be difficulties as you ramp them up. And we, as careful development engineers, we do go back and systematically analyze them to make sure that we are doing the right things to scale up. As of now, we don't see anything that is a blocker for that. We are doing very well in this, that's the reason we are putting a priority on getting Cobra into production as soon as possible. But it is an order of magnitude improvement in productivity, so it makes it very attractive for us to implement it into production as soon as possible.
Operator: Our next question today comes from Wesley Brooks with HSBC. Please proceed.
Wesley Brooks: Hi, guys, and thanks for the question and congrats on the new roles. So, firstly from me, could you -- are there any key timelines that you can provide us for these goals through the year? I mean, particularly on shipping the A-2 cells and kind of when we should expect feedback on that, and then kind of when we should expect that low volume production to get off or we just kind of wait to see as you go through it?
Siva Sivaram: As we have said in our shareholder letter, we expect low volume B0 production for this calendar year, and that's the guidance we have given. And all in-between steps, such as the shipping of Alpha-2 and ramping Raptor into production, and getting Cobra on site, we'll keep you updated as we achieve each of these milestones through the year. But for now our guidance is to say that we will be in low-volume production in calendar 2024.
Wesley Brooks: Okay, understood. And then kind of a follow-up, just -- you talked about the four key building blocks, obviously, the packaging, the high load cells, the Raptor. Are there any other key technological challenges that still need to be resolved, or is it really just kind of putting these all together and figuring out how to do that kind of efficiently and well?
Siva Sivaram: So we are making that big transition from having developed individual components into making a product, the QSE-5. I do not want to minimize for instance, the reliability improvements that we need to make. As we increase the volumes, we will make sure we continue to monitor productivity increases, particle reduction, variability reduction, process control, these things do take time. So I don't want to minimize the amount of work that goes into making that happen. The individual components as we said, the higher-loading cathode, the better packaging efficiency, the Raptor films, we have -- the 24-layer, we have shown all of these independently. The QSE-5 puts these together. The devil is going to be in the details of getting all of this together and ramped in volume. And so I don't want to come back and say that to minimize the amount of challenges ahead of us.
Wesley Brooks: Great. That's understood. Thank you. Very clear.
Operator: Our next question today is a follow-up from Gabe Daoud with TD Cowen. Please proceed.
Gabe Daoud: Thanks, guys. Just wanted to hop back on and ask a quick one. Could you maybe confirm or curb any kind of confusion around the prospective automotive launch customer for QSE-5? Is that still the same and is that prospective launch customer VW or PowerCo? Thanks.
Siva Sivaram: Yeah. We have not explicitly called out who our launch partner is. All I can say is in the last four months that I have been here working with Jagdeep, I have spent a lot of time with the customer. The customer continues to be as excited as always to get this launched. As we get close to it, we'll disclose with their permission on who the launch partner would be.
Gabe Daoud: Got it. Thanks Siva.
Operator: Thank you for your question. There are currently no questions registered. [Operator Instructions]
John Saager: Thank you. With that, I'd like to thank all of you for joining us. I'd also like to thank our team for their excellent work this quarter. And we thank our shareholders for their continuing support of our mission. We look forward to sharing more as we continue ahead. Thank you all.
Operator: That will conclude today's conference call. Thank you all for your participation. You may now disconnect your lines.